Operator: Good day, ladies and gentlemen, and welcome to the Coupa Software Fourth Quarter Fiscal Year 2022 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session.  As a reminder, this call is being recorded.  I would now like to introduce your host for today's conference call, Mr. Steven Horwitz, VP of Investor Relations. Mr. Horwitz, you may begin your conference.
Steven Horwitz: Thank you very much. Good afternoon, and welcome to Coupa Software's fourth quarter and year-end conference call. Joining me today are Rob Bernshteyn, Coupa's CEO; and Tony Tiscornia, CFO. Our remarks today include forward-looking statements about guidance and future results of operations, strategies, market size, products, competitive position and potential growth opportunities. Our actual results may be materially different. Forward-looking statements involve risks and uncertainties and assumptions that are described in our most recently filed 10-Q. These forward-looking statements are based on our beliefs and assumptions today, and we disclaim any obligation to update any forward-looking statements. If this call is replayed after today, the information presented may not contain current or accurate information. We also present both GAAP and non-GAAP financial measures. A reconciliation of certain of these measures is included in today's earnings release, which you can find on our Investor Relations website. A replay of this call will also be available. Unless otherwise stated, growth comparisons are against the same period of the prior year.  With that, I will now turn the call over to Rob.
Rob Bernshteyn: Thanks, Steven. Welcome, everyone. Before I share our business results for the quarter, let me first convey how saddened we all are by what's happening in Ukraine and throughout the region. Our hearts are with everyone impacted by this crisis, and we hope for a speedy resolution and certainly for peace. Our business has very limited direct exposure in the region. Nonetheless, we are first and foremost focused on supporting the safety and well-being of the small team of contractors we do have there. We're also working with our customers that have suppliers in Ukraine, Russia and Belarus to reroute supply basis and keep business moving forward as best as possible. Obviously, none of us know how long this conflict will last, but we all know the humanitarian crisis that will be with us for a long time to come. Because of this, we're matching employee contributions to appropriate global humanitarian organizations, and we're making a sizable donation to the International Committee of the Red Cross. We'll continue to look for ways to do more, both in terms of financial support and through various avenues across our global Coupa community. Now as we look to the results of our business, let me start by sharing a few financial highlights from the fourth quarter, our 52nd quarter of execution as a company. In Q4, we delivered record results in multiple areas, including $193 million of total revenue and $318 million of calculated billings. We also achieved record adjusted free cash flows of $61 million for Q4 and $156 million for fiscal 2022. Looking back at fiscal '22, our core business is healthy and strong, and our new business grew more than 60% compared to fiscal '21. By new business, I'm referring to recurring revenue from new logos and add-ons and new add-ons from existing customers. Digital and back-office transformation continues to be at the forefront as companies strive to build agility and resiliency in their businesses amid current and future uncertainty. As a result, business spend management is squarely in the spotlight. Amid these market dynamics, we've grown our community to include well over 2,500 customers, more than 3,000 employees and over 7,000 trained consultants, all working together to unlock vast amounts of business efficiency. Our fully cloud, highly scalable core transactional platform is unmatched in the market. We continue to capitalize upon our market leadership position to create a platform, the likes of which has never existed in our industry. This is exactly how it is, not how it might be. Before I dive further into our business updates, let me take a moment to expand on the opportunity we believe lies ahead. We have a massive total addressable market. We have a clear vision and strategy. We have a history of successful execution. And finally, we have a rich portfolio of untapped growth vectors that we are maniacally focused on addressing. Let me lay them out for you. First is our enterprise business. Many of the largest companies in the world have partnered with Coupa and are seeing incredible success. We have strong retention rates. We have an incredibly rich library of customer advocacy, and we frequently see business leaders who have used Coupa and then bring Coupa to their new employers when they change companies. Even with incredible organizations such as Amazon, BMW, Procter & Gamble, Unilever and Walmart already among our community of customers, our core penetration into the Global 2000 is still below 20%. Next, we have our mid-market segment. Tens of thousands of mid-market companies around the globe are in the process of taking their first steps into the world of digital transformation. We're seeing meaningful growth in our mid-market business over the last 2 years. And with less than 2,000 mid-market customers in our community thus far, we are in the very early stages of penetration in this segment. Another exciting growth area is geographic and sector expansion. We already have a strong presence in the U.S. and in Europe. To build on our presence, we have been meaningfully investing in Latin America and Asia Pacific, and are starting to see some early success and momentum in these regions. We've also been investing in the public sector, which we estimate has tremendous upside and is also in its early stages. And there are many other expansion opportunities across our broad Business Spend Management platform. As we highlighted in our Analyst Day, our current customers are subscribing to less than 1/5 of our total platform, and new customers are landing with increasingly more modules. Some of the growth areas I'll highlight here are supply chain, Coupa Pay, treasury as well as travel and expense, all of which are in the very early stages in their respective journeys. We anticipate all these sectors to be accelerators for our long-term growth rate. Now while we can't predict the future, we have deep conviction in our value proposition and this growing need in the marketplace. Therefore, coming off fiscal '22, where we saw greater than 60% new business growth, we plan to invest assertively this year to capitalize on our opportunity to win and own the market. We intended for our fiscal '23 investments to result in accelerated growth in fiscal '24 and beyond. Now, never hesitant, we continue executing on our path to becoming one of the world's best enterprise cloud software companies by remaining focused on our vision areas as exemplified by the letters in the name Coupa. C-O-U-P-A stands for comprehensive, open, user-centric, prescriptive and accelerated in all aspects. And it's through the consistent execution of our 3-wave strategy of: one, capturing all spend; two, optimizing every dollar spent; and three, amplifying community value that we will continue to drive into this market. Let me share an example from each of our 3 waves.  For the first wave, capturing all spend, let me highlight Coupa Pay. With Coupa Pay, we are transforming the world of payments by delivering a fully unified solution that leverages the Coupa Business Spend Management platform to centralize and streamline payments for organizations. We continue to see strong customer growth momentum. Q4 was yet another quarter where the attach rate on new customer deals was meaningfully above 30%. For mid-market specifically, the Q4 attach rate was well over 50%. Though we are still in the early stages of the Coupa Pay trajectory, we laid out -- that we laid out at our Analyst Day, we're starting to see noticeable increases in our total payment volume, or TPV, being processed through our payments hub as more and more customers go live. We expect our cumulative TPV, which includes ACHs, wires and virtual card usage to eclipse $10 billion in the first quarter. In fiscal '22, TPV grew more than 4x compared to fiscal '21. Relative to our spend under management levels numbers, these TPV figures are still very modest, and the fiscal '22 growth is on a small basis, but this early traction is very encouraging. We believe it shows the demand for our payment solutions and the need for organizations to make payments from the same single cloud instance that houses their supplier master record, all their POs and all their invoices and expense reports. The second wave of our strategy is to optimize every dollar spent through suite synergy. Let me highlight this with a supply chain design and planning customer example, where the integrated experience between our supply chain solution and our strategic sourcing solution is yielding differentiated knowledge and savings. We have a large South American company in the gas station and convenience store business, who is using our supply chain offering to design their delivery network and to identify their transportation needs. These insights are then being used to execute sourcing events using the Coupa Sourcing Optimization solution. This customer has a distribution-centric business. The margins are thin and every bit of savings count. By using our supply chain and sourcing solutions in tandem, they are seeing clear optimization of their supply chain related quality as well as spend. Another supply chain example is that of onsemi, a $6 billion semiconductor manufacturing company, who is using our supply chain solution to improve efficiency. onsemi reduced their supply chain decisions from about 2.5 weeks to just a few days, while also generating 10% to 15% improvements in capital efficiency and savings. This reminds me of the story  told at our Accenture event last summer by using Coupa's platform to unsilo their supply chain and sourcing teams to shorten the time it takes to make actionable decisions.  was able to reduce their average decision-making time from 5 days all the way down to 5 minutes. These are great examples of how having access to the right data to drive business decisions increases efficiency and reduces costs. Spend optimization, our second wave in action. Our third wave is all about amplifying community value. Community.ai combines the power of AI with human connections, the key to unlocking business value. With our cumulative spend under management now at more than $3.3 trillion, real-time spend data is being analyzed to prescribe ways for our customers to be more efficient, profitable and sustainable. Let me share some examples. Saint-Gobain, a global multibillion-dollar manufacturing company, is leveraging community data to reach its goal of being carbon neutral by 2050. They have reduced transport emissions by an average of 13% and in some cases, by as much as 60%. CHEP, a pallet and container pooling company has used Coupa to help improve the efficiency of their supply chain, reducing CO2 emissions per unit of delivery by 33%. The American Red Cross is using context aware prescriptions to increase spend with diverse suppliers thus far by 37%. Community.ai represents the third wave of our company strategy and is unlike anything ever contemplated at scale within the enterprise software industry. It truly unites businesses like never before to better discover, decide and deliver success, making all of our customers smarter together. To tie it all together, let me finally share a great example that elegantly incorporates all 3 waves of our strategy simultaneously. Let's look at Coupa travel and expense. Historically, companies have relied on cumbersome silo travel tools that don't provide any real insight into their travel spend. With our new travel and expense release last month, we have given our customers a user-centric solution designed to maximize program adoption. In line with our first wave of capturing all spend, this solution scales for companies with high volumes of expense report transactions, while giving finance significantly increased visibility into the control of their travel spend. Our T&E offering also incorporates our second wave of maximizing every dollar spent by delivering a unified program to a single BSM platform. The solution can be used to search for travel, book the travel and provide a seamless transactional experience with 1 click expense reports and credit card transaction matching. Customers can also ensure they have best pricing through Travel Saver or by leveraging pre-negotiated prices from Coupa Advantage. All these capabilities are further enhanced through our third wave of amplifying through community.ai, where our customers can make smarter decisions with community-powered insights. Using Spend Coach, customers are able to influence behavior by providing employees that book travel outside of Coupa insights into how much they could have saved by using the travel solution. We're also changing the way employees think about travel with context to where suggestions. Rather than searching for travel to JFK Airport, employees can input their final destination. For example, Coupa's New York office. And Coupa will help prescriptively guide them to the optimal means of transportation to get there, in line with their company policies. With the power of insights driven by our global community, Coupa delivers a radically different solution that transforms corporate travel to be simpler, smarter and more sustainable. To summarize, our 3-wave strategy, when working together, solutions across all the waves yield exponential value for our customers as each wave builds upon the other. The Value as a Service we are delivering for our customers is totally different than anything that's ever been offered before in our industry. Let me now share some updates on our federal business. I'm pleased to announce that we recently became FedRAMP authorized. It is no easy task to complete the authorization process. We are appreciative of the partnership we've had with our agency sponsor and customer, the Federal Reserve System Board of Governors. We believe, this, along with some of the key partnerships we've announced, and our continued investment in driving new business in this sector, will increase the pace of deals in this marketplace in the coming quarters and years. To share a few more highlights, new customers in the federal and, more broadly, the public sector include the Department of Energy's Supply Chain Management Center and the Suffolk County in New York. We're also proud to have the House of Representatives live on the Coupa BSM platform, with the members of the house and their staff now using Coupa. All these highlights I've shared today help illustrate that Coupa is creating an opportunity for finance, procurement and IT leaders to be incrementally strategic and elevate their standing within their own organizations. I'll now note, we couldn't be more excited about welcoming them and many others to our upcoming Inspire conference, which will be in Las Vegas from April 1 through April 7. There, the business by management community will have the opportunity to share best -- share case studies, interact, brainstorm, strategize and partner on driving valuable transformational change. Due to the COVID pandemic, this will be our first Inspire conference in 3 years, and our eighth overall. It will also be the first time that Coupa Pay, supply chain, treasury and payments all part of the Coupa platform will be unified at the same conference. We're excited to be welcoming 3 fantastic keynote speakers to the event in Las Vegas, Barbara Corcoran to speak about innovation, Jon Taffer to discuss teamwork, and then Sylvester Stallone to inspire us. We look forward to welcome you. Before I share our MVP awards, let me provide you with an update on our supply chain design and planning integration. We continue to be excited by the significant value that we are bringing to our customers through this offering. As I mentioned before, oftentimes deals that don't currently include supply chain now are still being influenced by the fact that we have supply chain as part of our portfolio, especially for large enterprise deals. It's been just over a year since we closed this acquisition. And during this time, we've been largely focused on customer alignment and strategy, converting existing on-premise customers to SaaS, arming partners with the expertise to deploy the solution, connecting the supply chain solution with our strategic sourcing solution, and, of course, integrating our people and processes. As we look ahead, we plan to focus on integrating supply chain with our risk solutions and our community.ai capabilities. We're also working with our customers to unlock the value that our core P2P and our supply chain customers can achieve through Suite Synergy. As we continue on pace along this time line of integration for supply chain that we originally shared at the time of the acquisition, we are excited about our progress to date, and most importantly, the clear growth opportunity we see in the coming quarters and years. Now let's move on to this quarter's MVP award winners, who best exemplify our values as voted by our colleagues across the world. I'll begin with , who personifies our first core value of ensuring customer success. Matthias leads by example, taking on issues outside of his direct responsibility, but necessary for our customer success, exhibits outstanding leadership through the transition to Coupa Treasury, enabling his team to grow and drive incremental success for our customers. Next,  was recognized by epitomizing our second core value, focusing on results. Anton is an absolute expert in finding and delivering the best solution. He has been an incredible asset to our customers in bringing together different departments and teams by applying his knowledge to improve processes and ensure customers get optimal results from the changes apart. And finally,  exemplifies our third core value, striving for excellence. Angie goes above and beyond to deliver excellence, both internally and with customers. She's eager to dive headfirst into complex tasks and find solutions. She has successfully taken on some of our larger implementations, leading the United Healthcare, BMO and United Airlines projects. Congratulations, and thank you, Mathias, Anton and Angie. These MVPs are obviously just a few of the people that represent the immense talent throughout our organization. To further cultivate this talent, we have started a new program called Coupa Rising Stars. This program is focused on elevating employees who model our core values, have already demonstrated stellar execution in their current role and are clearly capable of broader impact. By providing an additional level of mentorship for these colleagues, we are both improving their careers and the value that they deliver for Coupa and all stakeholders. I'm very excited to begin this program and see it kicked off. Before we close, let me share some interesting observations that we're seeing from our Coupa Spend Institute data. We analyze data across our Coupa community to give us insights as to what's happening in the global economy, specifically around what's happening with Ukraine and the global community. While it's still early, here are some of the indications we're seeing. Our data is on-the-ground proof of international economic support for Ukraine. Businesses outside of Russia and Belarus are accelerating their shipments to Ukraine, especially in key supporting sectors. In just 1 month, within our Coupa community, warehouse and distribution services jumped 300%, healthcare services climbed 189%, manufacturing and industrial processing shipments increased 44%. Again, these are early data points, but they show a singular truth, business spend is powerful. And when we are united by the power of spend, we can drive tremendous change. We'll, of course, continue to look at these numbers and share them as we go forward. In summary, we have what it takes to win this massive business by management market. We have a wide portfolio of rich growth vectors, many of which are very early in their journey. We have a winning 3-wave strategy. Our vision is comprehensive, open, user-centric, prescriptive and accelerated in a way that has never been attempted let alone achieved in our industry. And we're proud to have some of the most talented, thoughtful professionals in the world as colleagues and partners. With these pieces in place, it's all about continuing our proven track record of execution and reaching new heights.  With that, let me hand the call over to our CFO, Tony Tiscornia.
Tony Tiscornia: Thank you, Rob, and good afternoon, everyone. As Rob highlighted, we delivered strong top and bottom line financial results for the quarter and year. Our core business across enterprise and mid-market is healthy, strong and growing rapidly. During the fiscal year, we grew new business in excess of 60%, which we define as new recurring revenue from new customer logos and add-on transactions. We also continued to deliver strong margins and cash flows. Our free cash flow margin for both fiscal '22 and fiscal '21 was 21%. We also delivered 12% non-GAAP operating margins for the year. As we look ahead to fiscal '23 and beyond, we have a large total addressable market, the market-leading solution and a broad portfolio of levers to drive rapid growth. With the year well underway, we are excited about our business and our future. With that, let's discuss our Q4 and fiscal '22 results. Calculated billings for Q4 were $318 million, a year-over-year increase -- organic increase of 25%, after backing out the $15 million of onetime opening deferred revenue from the LLamasoft acquisition. Total revenue for the quarter was $193 million, and subscription revenue was $173 million, up 28% year-over-year. Non-GAAP gross margin was 75%, in the range of our midterm target of 74% to 75%. Q4 non-GAAP operating income was $28 million or 14% of total revenue, and non-GAAP net income was $14 million or $0.19 per share on approximately 77 million diluted shares. Q4 operating cash flows were $64 million, and adjusted free cash flows were $61 million. Cash at quarter end was $729 million, an increase of $62 million from last quarter. For fiscal '22, calculated billings were $855 million, an increase of 33% versus the prior year. Total revenue was $725 million, an increase of 34% versus last year. And subscription revenue was $634, up 35% from last year. Non-GAAP gross margin was 72% for the year. Non-GAAP operating income was $89 million or 12% of total revenue, and non-GAAP net income was $63 million or $0.83 per share on approximately 76 million diluted shares. Fiscal '22 operating cash flows were $168 million compared to $78 million last year, and adjusted free cash flows were $156 million compared to $114 million last year. In fiscal '22, we delivered Rule of 40 results of 55%. We continue to demonstrate our ability to drive rapid growth with strong cash flows. As a reminder, we define Rule of 40 as the trailing 12-month revenue growth rate plus the trailing 12-month adjusted free cash flow margin. Growth in our core business is healthy and strong. Let me share a few key data points. For fiscal '22, as we noted, new business grew more than 60% compared to fiscal '21. The number of customers with annualized subscription revenue greater than $100,000 was 1,370 at the end of the year compared to 1,082 a year ago, an increase of 27%. Also, we ended the year with $1.3 billion in total RPO, a 35% increase over last year. Of that, current RPO growth was approximately 33% compared to a year ago. Our robust RPO growth metrics are illustrative of the strength in our core business and new business growth. We continue to see robust engagement in partnership with enterprise-sized customers and prospects coming out of COVID, and our deal sizes continue to increase. We also continue to be increasingly excited about our mid-market business, which represents about 40% of our total addressable market and has been growing rapidly the last 2 years. With that, let's now turn to guidance. Let me start by sharing a few key items of note that should be considered with our guidance. First, as we head into fiscal '23 with strong new business momentum and our largest pipeline ever, we plan to continue investing across our business to drive increased top line growth in fiscal '24 and beyond. Non-GAAP sales and marketing expense as a percentage of revenue was 32% for Q4 and 31% for fiscal '22 compared to our midterm target range of 36% to 38%. Our strong sales efficiency metrics and the overall leverage and scale in our agile financial model give us degrees of freedom to invest for growth while continuing to deliver strong margins and cash flows. Next, we believe the revenue metric that investors should focus on is subscription revenue. When we acquired LLamasoft 5 quarters ago, professional services and other revenue spiked. LLamasoft historically performed their own customer deployments and generated a significant amount of license revenue associated with our legacy products. We are primarily focused on the subscription aspect of the business. And we are also continuing to enable our GSI partners to perform supply chain deployments in alignment with our partner-led model, which is a key element of our strategy. Therefore, by design, and in keeping with our stated intent, professional services and other revenue will continue to decrease as a percentage of total revenue. With that, I'll now share guidance for Q1 and fiscal '23. For Q1, we expect subscription revenues of between $171 million and $173 million and professional services and other revenue of approximately $18 million, yielding a total revenue expectation of between $189 million and $191 million for Q1. Note that we recognize subscription revenue using the daily method. Q1 has 3 fewer days than Q4, which represents approximately $6 million in impact for Q1. This impact is incorporated in our Q1 guidance. We expect Q1 calculated billings of $175 million. Moving down the income statement, we expect non-GAAP gross margin of approximately 71%, lower than Q4 in part due to the $6 million impact of having 3 fewer days in the quarter. We expect non-GAAP operating income of $6 million to $8 million and non-GAAP net income of $3 million to $5 million, resulting in non-GAAP net income per share of $0.03 to $0.06 on approximately 86.5 million diluted shares for the quarter. Now with regards to the share count, please note that compared to Q4, the significant increase in the number of diluted shares used to calculate non-GAAP EPS is driven by the adoption of a new accounting standard, which requires a new methodology for calculating dilution associated with our convertible notes. Until now, we were previously using the treasury stock method. Pursuant to the new pronouncement, we'll be using the if-converted method. This is purely a go-forward accounting change. We expect Q1 adjusted free cash flows of approximately $15 million coming off the strong collections finish we had in Q4. From a cost perspective for Q1, keep in mind that we will be hosting our in-person Inspire Conference in April in Las Vegas, our first in 3 years. This will increase OpEx on a year-over-year basis for Q1 and also for the year as we return to hosting customers, prospects and partners in our offices and our colleagues begin to travel more frequently for business. Now let's move on to the full year fiscal '23 guidance. We expect subscription revenue of between $756 million to $760 million. This guidance represents a 20% increase in subscription revenue for fiscal '23. We also expect professional services and other revenue of approximately $80 million or 10% of total revenue. This yields expected total revenue of between $836 million and $840 million for fiscal '23. As we continue to invest in our business to drive growth, we expect a non-GAAP gross margin for the year of approximately 71% and non-GAAP operating income for the year of $25 million to $29 million, resulting in non-GAAP net income per share of $0.15 to $0.19 on approximately 88 million weighted average diluted shares. That concludes our prepared remarks. We'd now be happy to take your questions. Operator?
Operator: . Our first question comes from the line of Gabriela Borges from Goldman Sachs.
Gabriela Borges: Either for yourself, Rob, or for Tony, help us understand the disconnect that we're seeing in terms of the strong pipeline and the commentary that you gave on the core business being healthy versus what looks to be deceleration in organic growth for fiscal year '23. So maybe just a little bit of color on what you're seeing on the ground in terms of digital transformation and competition?
Rob Bernshteyn: Sure, Gabriela. Thanks for the question. So when we look at new business, that in, let's say, the COVID year -- from the COVID year to last year grew in excess of 60%. So we feel like we have a really strong core business, particularly as it pertains to subscriptions themselves. We see more and more customers adding on subscriptions at higher price points around the world. So we feel really good about that. When we look at pipeline, we have the largest pipeline we've ever had as we go into the year. Having said that, there's obviously plenty of uncertainty out there, and we really pride ourselves on saying something and delivering on it, and we're not going to change that approach. But generally, we feel really good about the health of the business and all the vectors that I shared.
Operator: Next one on the queue is Raimo Lenschow from Barclays.
Raimo Lenschow: Question for you, Tony. Like if you think about the strong growth you saw in CRPO, RPO et cetera, and then also thinking a little bit about the guidance, like, can you talk a little bit about your guidance philosophy and changing because you're becoming -- a more mature company now? Is there something maybe that we should be aware of in terms of like how we should think about your approach to guidance going forward? And then I have a follow-up for Rob.
Tony Tiscornia: Sure. Thanks, Raimo. So as Rob noted, we're certainly bullish about accelerating overall revenue and calculated billings growth in fiscal '24 and beyond. Subscription revenue guidance for this year is a few points lower than our pre-COVID guides. And we reiterate confidence in mid-20s organic billings growth near term. COVID had an impact on our enterprise business, but as we mentioned earlier, new business last year grew very strong, and the mid-market business is growing rapidly even through COVID, and we have many vectors for growth. This is why we're continuing to make investments in sales and marketing and really across the business to capitalize on our opportunity that we're seeing. But also, we'll continue to be responsible with our investments. We're profitable. We have a strong balance sheet. We have a strong margin profile, and we're in line for our midterm targets. With regards to guidance philosophy, naturally as we grow, we have more data to sharpen our forecast and consistently fine-tune our guidance based on the data that we have. But there's really no overall major change in our philosophy.
Raimo Lenschow: Okay. Thank you. And then, Rob, can you talk -- like in the past, you talked a lot about Coupa Pay, like -- what I hear from the field is still kind of -- there's a lot of momentum there. Can you just speak to that a little bit?
Rob Bernshteyn: Yes. Sure, Raimo. The encouraging data point we thought would be worthwhile to share with the group is just the total payment volume that we're seeing. It's one thing to sell an offering, it's another thing to get it implemented and see it really start to take off. And the attach rates continue to be incredibly strong. As you mentioned greater than 30% overall and mid-market well over 50%, as you know, we began Pay kind of in the mid-market moving up, and the total payment volume exceeding $10 billion. So -- and largely through ACH digital payments, but that's just fine for us, right? We're seeing customers using it across a whole host of different methods. And the other thing I think worth mentioning is just the ecosystem continues to grow. We added HSBC, Brex, AirPlus, Billtrust as partners. So we're seeing this footprint really start to tick off. And it's measured thoughtful growth, but it's still very early in the trajectory of Coupa Pay, no doubt.
Operator: Next one on the line is Brian Peterson from Raymond James.
Brian Peterson: So first off, we saw the margins come in nicely above expectations this quarter, last quarter. But it looks like the guidance is maybe a little bit lower than we had modeled. I'd be curious, how did the hiring trends compare last year versus what you're expecting in fiscal year '23? Any way to kind of stack order rank some of the investment priorities for next year?
Rob Bernshteyn: It seems like it's 2 components to that question, Brian. So in terms of hiring continues to be measured, thoughtful. There's obviously a major game of, let's call it, musical chairs that's happening in the world at the moment, and we're using that as an opportunity to attract the very best talent that's going to be with us for the longer term as we build up our team. And that goes across all departments from sales, marketing, services opportunities and the like. But I'll let Tony connect on the margin point.
Tony Tiscornia: Thanks, Brian. So with regards to gross margins, First, as I noted in my prepared remarks, for Q1, we had the impact of 3 fewer days, which reduces the steady-state subscription revenue by $6 million. We have this every year. When you look at the full year, we delivered 72% gross margins for fiscal '22. Given the agility and resiliency of our P&L, we're giving ourselves degrees of freedom to invest for accelerated growth in fiscal '24 and beyond. Of course, we update our models each quarter, and we have levers that we can push and pull on depending on the progress we're seeing from our investments, but that's really the logic there
Operator:  Next one on the queue is Alex Zukin from Wolfe Research.
Alex Zukin: I guess, I think the disconnect here is that we're hearing some really positive momentum around new business growth. We're seeing some solid billings numbers in the quarter. And I think everybody is trying to figure out is there something in the retention dynamics of the core business that we just didn't account for that's getting level set? Is there a higher degree of conservatism that we need to account for because there's kind of some aspect of we're all trying to figure out the guide? And I think, for the margins, you talked about clearly, this is an investment year. Clearly, there's a reopening impact to the expense profile. And you talked about accelerating growth in fiscal '24 and beyond as the potential to come from this investment. But is there also kind of a commitment that we're business trough from a margin perspective, and we'll start to meaningfully go up from here?
Tony Tiscornia: Thanks for the question, Alex. This is Tony. So yes, you're right. I mean if you look at our CRPO numbers, our total RPO numbers, new business growth, really, what that illustrates, I think, is core Coupa new business subscription deals have performed very strongly, right, in this last year. On top of that, Rob laid out all the different vectors for growth that we're focused on as we go into next year. There certainly is not any issue with retention rates. Our gross renewal rate was still in that range of 94% to 96%. And our dollar-based expansion was a little bit north of the 1.10 to 1.12 range. I think really there's a dynamic here where in the year of COVID, in calendar '20 and fiscal '21, especially in the enterprise, it was a difficult year, right? And when you're going along with the totality of the installed base and the run rate of calculated billings and revenue at a larger and larger size, when you have a year like that, that's a bit depressed because of the circumstances, it takes multiple years of outsized new business growth in order to kind of recover and get back on to the original track, right? In fact, earlier today, we did a little bit of a math proof on the whole thing, and I think it makes a lot of sense. So we also saw that with some other companies looking back historically as we were doing our homework like around the 2008 financial crisis. So certainly, we're focused on investing in our business and our margin profile and capital profile is very, very durable and strong. It just takes a couple of years to come out of that dip year that we had. And I think ultimately, that's the story.
Operator: Next on queue is Brad Sills from BofA Securities.
Brad Sills: I wanted to ask, Rob, your thoughts on reopening and what impact that might have on the business? Is that something that you feel could be a positive tailwind for the BSM category as employees get back to the office? A key use case for procurement is to purchase supplies, computer equipment for an insurance center for employees that are in the office potentially. Just curious to get your thoughts on, as we get into reopening, what impact that might have on the business?
Rob Bernshteyn: Sure. Thanks, Brad. I think the answer is yes. I don't think it's as much about the office supplies in those categories, in a $3.3 trillion in spend volume office supplies and 1 that represents a relatively small portion. But overall control of spend in office from a demand perspective is something we are looking forward to. I would also say, in an -- feet on the street perspective, right? So being able to close some of our larger transformational deals in the enterprise does, in fact, call for shaking real hands and arriving at relocations and having communications around had to set up centers of excellence and how to deploy the best practice of solutions. We think it's also going to help us continue to scale our mid-market business. We're putting the right -- we believe the right sales capacity in place against this post-COVID kind of re-platforming that we're anticipating, and we're also pushing for a tipping point in the overall category awareness of business spend management. To the earlier question of people that we're hiring, just this last quarter, a significant amount of people came to us because they've heard of the category and us being a leader in the category. So we're working towards that typic one as well. And that's, of course, not the mentioned the armies of systems integrators that we want to continue to work on with on the ground to get larger scale deployments and our overall assessments or valuations of such deployments back on the ground. So both push and pull, we anticipate some positive things happening from the reopening.
Operator: Next one on the line is Michael Turrin from Wells Fargo.
Michael Turrin: You pressed pause on M&A given the size and scale of LLamasoft. But having now lapped that transaction and with valuations more broadly coming back across technology, can you maybe refresh for us what your overall approach to M&A looks like and maybe some of the things you look for in evaluating areas to expand into?
Rob Bernshteyn: Yes, sure. No, thank you for that question. Our acquisition M&A strategy really remains very much the same. We're always looking at options for power applications or components of functionality that will broaden or deepen the platform and get more about -- help our customers get more value out of their trillions of dollars in spend. And we'll always consider the right opportunities that meet our culture, technology, domain expertise criteria. The state of strategy has always been to increase the share of the CFO's wallet, an individual that just doesn't have a primary platform to manage all their business spending, designing and planning solutions around that. So it's very much the same strategy, and we continue to monitor the marketplace for the right types of things we can consider as we build out the business.
Operator: Next the line is Bob Napoli from William Blair.
Robert Napoli: A follow-up question on Coupa Pay. It seems like you're having a lot of success in the mid-market with Coupa Pay over 50% attach rate. I wonder if you could give a little color on the growth of Coupa Pay maybe as it relates to mid-market? It seems that, that is -- the mid-market could be a lot more profitable than enterprise for Coupa and selling Coupa Pay directly, I'm not sure how often you're selling it with a number of other products, but is there an opportunity to accelerate the growth of Coupa Pay in the mid-market by going more direct and more focused on distribution in that channel?
Rob Bernshteyn: Sure. Thank you for the question. I think there's an opportunity in both, both accelerating the adoption of Coupa Pay in mid-market, while, simultaneously, continuing to go up market with the solution along with offering more capabilities around Coupa Pay. We have a pretty robust road map with Coupa Pay to really be the payment hub for organizations for all key categories of their expenditures that they need to pay for. So very similarly to many of the modules we've built over the last decade plus, we begin in mid-market, and we continue to stretch and pull the application based on customer requirements, building 80-20 highly user-centric capabilities, leveraging all 3 waves of our strategy to have them integrate the other apps as well as unlock community value. And we think we have plenty of different vectors of growth around Pay with that spirit and approach.
Operator: Next question comes from the line of Terry Tillman from Truist Securities.
Terry Tillman: In terms of the softer -- or FY '23 sub revenue growth, you're talking about growth maybe accelerating into FY '24. Can you frame what kind of step-up in growth there would be potentially or just any kind of guidepost? And if you think about -- the second part of that question is, what are some of the areas where you could see more lively or growth upside as we move out into the next year? Is it international, mid-market, Coupa Pay kind of emerging products, et cetera? Just if you could help frame that.
Rob Bernshteyn: Sure. Let me answer it this way. What we've tried to do in building this business is create a wide, wide portfolio of growth vectors. So it's very difficult to predict whether it will be geographic, whether it will be a category, whether it will be product whether it will be new customers add on within existing customers. But with this portfolio effect, we are significantly shoring up the opportunity set to maximize the result, right? And then looking at whatever the time interval it is, whether it's fiscal '24 or '25 or any given quarter, any 1 of those vectors could be the contributor to help us in the continued reacceleration as we move our way past COVID and into the growth years that we're anticipating.
Tony Tiscornia: Yes. And let me add, Terry, to the first part of your question. So nothing's really changed for us from our commentary from last quarter. Last quarter, we stated that we're confident in mid-20s organic calculated billings growth in the near term, and we reiterate that. As for guidance, we strive to execute and achieve a beat and raise each quarter. It's a little bit tough to know with all the things going on in the world that is quite turmoil at this time. But we're bullish about accelerating our growth with the investments we're making. Subscription revenue guidance, we talked about services and other guidance and why that is trending downward if you look at the total. But the core of this business is subscription. And subscription revenue guidance for fiscal '23 is a few points lower than our typical pre-COVID guidance. So you take all those things into consideration, and then on kind of shaping up the year, we'd expect, for the most part, typical seasonality for the year, Q1, Q3 a little bit lighter, Q2 larger and Q4 is really the biggest quarter for all enterprise software companies. The notion of getting back to work, "increased business travel" as the year progresses could become an incremental tailwind for the back half of the year, and we'll keep you updated on that on a quarter-by-quarter basis.
Operator: Next question comes from the line of Ryan MacDonald from Needham.
Ryan MacDonald: I wanted to dig deeper into the largest pipeline ever commentary. And maybe you can parse out sort of what you're seeing in terms of mix between late-stage and early-stage pipeline? And then how do you think the return of Inspire being in person can help unlock more pipeline or help maybe accelerate the conversion of that large pipeline into billings?
Rob Bernshteyn: Thanks, Ryan. That's a really thoughtful question. It certainly is the largest overall pipeline that we've ever had and particularly interesting when you look at the Q4 pull and the tens and tens of millions of dollars in subscription revenue we closed just in Q4. We're seeing stronger increased customer prospect engagement on our calls and our actions online. And we're seeing what we believe is a certain release and sort of gravitational pull as it presents to us and a category winner in business spend management. And without making a direct prediction, I would certainly like to see our Inspire Conference where we anticipate a reasonable amount of folks coming out of COVID and wanting to be together across all areas from procurement to treasury to supply chain to all the other areas we support coming together to help move that pipeline from early stage all the way through to pre-close and close. So I think it bodes well for us. And I'll tell you, Ryan, I can't wait for the conference and again, welcome everyone on the line to join us in Las Vegas.
Operator: Next question comes from the line of Steve Koenig going from SMBC.
Steve Koenig: Rob, I'm wondering how you might think about in terms of what you're seeing, how inflation is affecting the customer imperatives for back office investments and particularly procure-to-pay investments, either positive or negative, kind of what are the puts and takes here as you talk to customers?
Rob Bernshteyn: Yes. Thank you for that question. I honestly can't point to anything as I often say statistically significant as it pertains to that. When I think back to the fourth quarter and the momentum and interactions we had in our deal closes, they were all oriented towards helping companies get back to controlling their spend, maximizing every dollar of spend, resiliency, sustainability, all their key initiatives and how we map to that. Inflation is obviously a factor for all of us. But I can't say that there was anything significant that came up in the dozens of interactions I had that would be worth calling out here.
Operator: Next on queue is Brent Bracelin from Piper Sandler.
Brent Bracelin: I wanted to zoom out a little bit on the subscription growth outlook. I think the 5-year average is 40%, 2-year average is 35%. You're guiding to 23% in Q1 and a full year guide implies further moderation to 20%. What's changed relative to the growth outlook this year? Are the acquisitions not contributing to growth as much as expected? Is this just all large enterprises stalling and not seeing it come back? Has the closed environment shifted in the last 2 weeks post Ukraine? I asked this because Gartner is actually forecasting the supply chain management software industry to actually accelerate this year versus your guidance of a further slowdown. So just trying to understand what's changed, and how we should think about those levers to driving acceleration?
Rob Bernshteyn: Sure. Thanks for the question, Brent. So first of all, I'd say nothing has changed. I mean -- if you look at our subscription revenue guidance for Q1, it's actually in the 19% to 20% range, right? And that's consistent with 20% for the year. On top of that, you layer on the fact that it's tough for us to predict the future, especially in the tumultuous environment in the world that we're in. But we historically modeled to try to achieve a beat and raise. We were talking last quarter about mid-20s organic calculated billings growth and obviously, calculated billings comes in advance of revenue. So consistent for Q1 in the year, our model hasn't changed, our approach hasn't changed. And I think with supply chain, we're well along the path of our stated kind of integration time lines that we discussed. I mean, certainly, in the near term, when you consider for total revenue, professional services going down for going to partners, right, our GSI partners that keep part of our strategy, we're being very successful in converting license contracts to SaaS contracts. So that's certainly a part of the near-term impact on revenue and billings that we're building into our model. And on top of that, as I called out earlier, it takes several years of outsized new business performance to get the overall calculated billings on revenue growth back on track because of the dip here in COVID. But that was to take away from the fact that at the tip of the spear of this last year, we saw a really robust new business growth.
Operator: Next one on the line is Peter Levine from Evercore.
Peter Levine: So I think a concern for investors as it relates to software and the risk of any deteriorating or economic downturn. In Europe, due to the geopolitical environment, we unfortunately see ourselves in. So I think international makes up your business, can you dissect that further and let us know what your exposure is to EMEA Europe specifically? And what kind of assumptions are baked into the guide we're looking at your European segment, longer sales cycles, sales disruptions churn? Any color would be great.
Tony Tiscornia: Thanks, Peter. I mean I think the first thing I'd point out is that as long as businesses are continuing on with their endeavor to succeed in their business, they , right? And that's first and foremost. And we're seeing incredible engagement from customers, large and small across the world. Europe in and of itself, EMEA is about 25% of our business, and then the rest of the world gets us option that 40-ish percent range. On the margin, I think there might be a bit more sensitivity to COVID into the ongoing situation, of course, in the eastern part of Europe right now, but nothing meaningful from a pipeline perspective, a customer interaction perspective. So all of our best estimates on the impact of these items are baked into our guidance, but we don't foresee a meaningful impact. Now that could change, right? Of course, depending on what happens in the world. But from where we sit now, we feel pretty good about that.
Operator: Next question comes from the line of Siti Panigrahi from Mizuho.
Siti Panigrahi: I just wanted to ask about LLamasoft transitioning from on-prem to SaaS. What sort of trend you've seen in terms of customer churn or anything, any color be helpful?
Rob Bernshteyn: Sure. Thanks for the question. Well, look, obviously, we're in the process of converting customers from term licenses to SaaS upon renewal. We've had great success with that. And in fact, the majority of these term licenses have converted to SaaS. And customers are beginning to really understand the value proposition of an integrated business spend management offering. Now there's a lot of work that goes into making this as special as we want to make it. We have now a truly extensible cloud offering in the market. We're building on top of this common data model that supports a wide range of use cases. 80-20 type applications that we go to market with over coming years, they're going to really unlock the power of SaaS in the area of supply chain design and planning. This is largely a services-based market that's dying for an 80-20 solution to address the needs of the masses. And at the same time, we're training consults on developing best practices around our supply chain design and planning approach. I mentioned in my prepared remarks as well, we’re looking to integrate that solution into our supplier risk area. And in my mind, most importantly, unlocking the power of community.ai as it pertains to supply chain design. So folks can be smarter and smarter about the way they plan their agile supply chains in real time to maximize dollars and maximize efficiency and fulfill demand that they have for their own customers in the marketplace. So very early in the trajectory here, but we feel like we're in a really good spot with the offering we have and the approaches that we're taking.
Operator: All right. At this time, there are no further questions. This concludes the conference for today. We do thank you all for joining us. You may now disconnect.